Operator: Ladies and gentlemen, thank you for standing by and welcome to the Gannett Fourth Quarter and Full Year 2020 Earnings Conference Call. [Operator Instructions] I would like to hand the conference over to your speaker today, Ashley Higgins of Investor Relations. Please go ahead.
Ashley Higgins: Thank you, Mary. Good morning, everyone and thank you for joining our call today to discuss Gannett’s fourth quarter 2020 results. Presenting on today’s call will be Mike Reed, Chairman and Chief Executive Officer and Doug Horne, Chief Financial Officer. During this call, we will discuss Gannett’s financial results for the quarter. If you navigate to the Gannett website, you will find that we have posted an earnings supplement in addition to our earlier press release. We will be referencing it today on the call as it provides you with additional detail on this quarter’s performance. Before we begin, please let me remind you that this call is being recorded. In addition, statements made during this call with respect to future results and events are forward-looking statements that are based upon current expectations. Actual events and results could differ materially from those discussed today. We encourage you to read the forward-looking statements disclaimer in the presentation as well as the risk factors described in Gannett’s filings made with the SEC. In addition, we will be discussing some non-GAAP and pro forma financial information during the call today. You can find reconciliations of our non-GAAP measures to the most comparable GAAP measures in the earnings supplement. The pro forma information presents Legacy New Media and Legacy Gannett on a consolidated basis. Lastly, I would like to remind you that nothing on this call constitutes an offer to sell or a solicitation of an offer to purchase any interest in Gannett. The webcast and audiocast are copyrighted material of Gannett and may not be duplicated, reproduced or rebroadcasted without our consent. With that, I would like to turn the call over to Mike Reed, Gannett’s Chairman and CEO.
Mike Reed: Thanks, Ashley. Good morning, everyone. Thanks for joining our call this morning. We are pleased to share with you today the details of our strong fourth quarter performance, our improved capital structure, including a significantly lower cost of debt, and importantly, how we expect to build upon our momentum in 2021 and beyond. We are exiting 2020 having achieved meaningful progress across all aspects of our business. We are seeing improving trends and we are pivoting from a primary focus on integration in debt reduction toward our long-term subscription led digital growth strategy. Looking at the results of our fourth quarter, our revenue trends improved 330 basis points sequentially from the third quarter driven by the continued rebound of our advertising and marketing service products, both digital and print. On the circulation side, single-copy sales remain challenged. However, our subscription revenue trends remained consistent with the third quarter. As we have discussed on prior calls, we are highly focused on continuing to grow our digital-only paid subscriptions, which are now totaling over 1.1 million. Our continued strong execution on capital – on capturing the synergies as well as additional cost reduction efforts in response to the pandemic led to expenses decreasing 20.4% to prior year during the fourth quarter. As a result, we achieved adjusted EBITDA of $148.8 million in the fourth quarter, which represents year-over-year same-store growth of 5.4% on a combined company basis. Before I turn the call over to Doug in a few minutes to discuss our financial results in more detail, I wanted to highlight the significant improvements to our capital structure that we achieved over the past few months. As we have continually stated since closing the acquisition of Gannett in November of 2019 refinancing our 11.5% term loan has been our number one priority. We viewed it as a bridge loan and we were committed to refinancing it before the end of 2021. In November 2020, we refinanced approximately $500 million of debt term loan, with 6% convertible notes due in 2027. This saved the company $27 million in annual interest expense and extended our maturity by 3 years. It also is important to recognize that the conversion price on these notes represented 187% premium to our common stock price at the time of pricing. Most importantly though, along with the debt repayment we achieved through asset sales, reduced our remaining 11.5% term loan balance to a level that we believed would allow us to refinance the remainder ahead of our original timeframe. Early this year, we successfully refinanced that remaining term loan by closing on a $1.045 billion 5-year term loan B priced at LIBOR plus 700 with a 75 basis point LIBOR floor. The only financial covenant in the new facility is a minimum cash balance of $30 million at the end of every quarter, which is not a concern for us to maintain. Our blended rate of debt outstanding is now 7.18% as compared to 11.5% this time last year. Factoring in the 375 basis points of interest savings from the new 5-year term loan, the $27 million in interest savings from the convertible notes and the approximately $250 million in debt repayment we have made since the closing of the Legacy Gannett acquisition, we expect to reduce our cash interest costs in 2021 by over $90 million. The net reduction does not factor in additional debt repayment that we expect from selling another $100 million to $125 million of real estate assets during 2021, which we are highly confident we will get done, which further reduces the cash interest costs in 2021 and beyond. So, we are extremely pleased to have fully refinanced our original 11.5% term loan this year, much earlier than we had originally indicated after the acquisition of Gannett. We will continue to make debt repayment a top priority with a goal of reaching first lien net leverage below 1x EBITDA over the next 2 years. Sticking with the Gannett acquisition for a minute, we also guided to synergies of $275 million to $300 million within 2 years of closing that deal. We have achieved $245 million on an annualized basis already. And with our plans for 2021, we expect to overachieve on the previously guided synergy number and importantly within the timeframe previously laid out. We are excited to build on the momentum of our accelerated synergies execution, our strong fourth quarter performance and our improved capital structure as we look forward to 2021. We have a clear vision and strategy. And I would like to spend a few minutes outlining that for you now. Gannett is committed to a subscription-led digital business strategy that drives audience growth and engagement by delivering deeper content experiences to our consumers, while offering the products and marketing expertise our business partners desire. The execution of this strategy is expected to allow the company to continue its evolution from a more traditional print media business to a digitally focused content platform. There are five key pillars to our strategy. First is accelerating digital subscriber growth. The broad reach of our newsroom network, leading national journalism at USA TODAY, our local property network in 46 states in the U.S. and Newsquest in the UK with more than 120 local media brands gives us the ability to deepen our relationships with consumers at both the national and local levels. We bring consumers the community news and information that impacts their day-to-day lives, while keeping them informed of the national and regional events that impact them as well. We believe this comprehensive hyper local community content is not readily obtainable anywhere else and we are able to deliver that content to our customers across both print and digital platforms. We expect to and are invested in growing the number of journalists across our platform as we seek to accelerate growth of our subscription led business model, anchored on high-quality, original, impactful journalism. A key element of our consumer strategy is growing our paid digital-only subscriber base and increasing our overall market share. We also expect to launch new digital subscription offerings tailored to specific users with very defined content. We believe that we create and deliver accurate fact based news and information and believe that consumers will continue to seek out and demand this fact based accurate content at higher rates in the future. The second pillar is driving digital marketing services grow by engaging more clients in the subscriber relationship. We are now a significant digital scale with a unique reach at both the national and local community levels. We expect to leverage our new integrated sales structure and lead generation strategies to grow our client base and aggressively expand our digital marketing service businesses in our local markets, both domestically and internationally. Given our extensive client base and volume of digital campaigns, we will also use data and insights to offer new and dynamic marketing products that can deliver superior results for our business partners. Third pillar is optimizing our traditional businesses across print circulation and advertising. We will continue to drive the profitability of our traditional print operations through economies of scale, process improvements and optimizations. We are focused on optimizing our pricing and improving customer service for our print subscribers. Print advertising continues to offer a compelling branding opportunity for businesses across our network due to our scale and unique reach at both the national and local community levels. Fourth is prioritizing investments into growth businesses that have significant potential and support our vision. By leveraging our unique footprint, trusted brands and media reach, we identify, test and invest in opportunities for growth. First example I would say is the USA TODAY NETWORK Ventures, our events and promotions business. It’s a strong example of one such experiment that has grown significantly since its founding in 2015. During 2020, the company was able to successfully pivot during the pandemic to hosting its events virtually hosting over 250 events and maintaining 88% of our events revenues compared to 2019 on a pro forma basis. We also have several other fast growing businesses such as Reviewed.com, and our USA TODAY Sports Media Group. We look forward to discussing these with you in more detail as the year progresses. And finally, we intend to build upon our inclusive and diverse culture to center around meaningful purpose, individual growth and customer focus. Inclusion, diversity and equity are core pillars of our organization and influence all that we do from recruiting, development and retention to day-to-day operations, including hiring, onboarding, education, leadership training and professional development. We have published our diversity goals for 2025 and we have significant efforts underway to support our initiatives. We expect to publish our first workforce diversity report in the first quarter of 2021. We believe aligning our culture around empowering our communities to thrive and putting our customers at the center of everything we do will provide the foundation for our broader strategic efforts. In 2021, you will hear us speak to these five priorities on a regular basis and share data points with you to track our progress. We are excited to execute on the strategy and accelerate our digital transformation to a subscription led content business. With that, I will hand it to Doug to share more information on our Q4 and 2020 financial performance. Doug?
Doug Horne: Thank you, Mike and good morning everyone. As Mike mentioned in his opening remarks during the fourth quarter, we saw significant trend improvements across our businesses. We are exiting the year with strong momentum and entering 2021 with a strong balance sheet, a materially lower cost structure and more opportunity to drive financial performance and shareholder value over time. For Q4, total operating revenues were $875.4 million, up 25.2% as compared to the prior year quarter as a result of the acquisition of Legacy Gannett in Q4 of 2019. On a same-store pro forma basis, operating revenues were down 16.3% as compared with the prior quarter due to the unfavorable impacts from the pandemic and continued secular trends. However, this trend compares favorably to the down 19.6% we experienced in Q3 of 2020. Adjusted EBITDA totaled $148.8 million in the quarter, which is up $7.6 million or 5.4% year-over-year. This performance reflects the impact of improved revenue trends as well as cost reductions and synergy savings. The adjusted EBITDA margin in the quarter was 17%, a significant increase over our third quarter margin of 10.8%. In the fourth quarter, our expenses were lower by 20.4% on a pro forma basis, reflecting ongoing expense measures taken in response to the pandemic as well as continued synergies from integration initiatives as well as regular way cost reductions. Now, moving on to our segments, the Publishing segment revenue in the fourth quarter was $794.2 million. Within that total, print advertising revenue decreased 26.9% compared to the prior year on a same-store pro forma basis, reflecting continued secular pressures as well as the disruption from the pandemic. However, we were very pleased to see that we have 400 basis points of trend improvement from the third quarter to the fourth quarter. Digital advertising and marketing services revenues decreased 2% on a same-store pro forma basis driven by the disruption from the pandemic. This is over 11 points of improvement compared to the third quarter trends, reflecting improved demand for digital display advertising and digital marketing services products. Digital advertising and marketing services returned to year-over-year growth in December and improvement in the quarter was largely as a result of national digital growing 29% year-over-year on a pro forma basis. Circulation revenues decreased 13.6% compared to the prior year on a same-store pro forma basis, which reflects the ongoing pressure of the pandemic on single-copy sales during the quarter, which remain negatively impacted as a result of lower travel and consumer activity. Home delivery circulation trends remain consistent with Q3 trends. And similar to prior quarters, we did not see a negative impact on home delivery as a result of the pandemic. Cade digital-only subscribers grew 29% year-over-year to 1.1 million subscriptions. Digital-only circulation revenue grew 46% on a pro forma basis as compared with the prior year. Adjusted EBITDA for the publishing segment totaled $147.4 million, representing a margin of 18.6% in the fourth quarter, which compares favorably to the 14.9% margin we saw in Q3. For the Digital Marketing Solutions segment, total revenue in the fourth quarter was $107.3 million, a decrease year-over-year of 10.3% on a same-store pro forma basis, which is a significant improvement from the 17.4% decrease we saw in Q3. The fourth quarter improvement was driven by our core ReachLocal business which returned to year-over-year revenue growth. Adjusted EBITDA for the Digital Marketing Solutions segment totaled $9.5 million, representing a margin of 8.9% in the fourth quarter, which is nearly 500 basis points of improvement from the Q3 margin. Our Q4 net loss attributable to Gannett was $122.2 million. That loss reflects a $74.3 million non-cash loss on an embedded derivative related to our convertible notes and a $42.1 million loss on the early extinguishment of debt. Our effective tax rate for the year was 4.7%, which was primarily driven by the nondeductible portion of the goodwill and intangible impairments in Q2. Valuation allowances on our interest expense carry-forwards and non-deductible compensation primarily triggered by the Gannett acquisition. Capital expenditures totaled approximately $8 million during the quarter, reflecting investments related to product development, technology and operating infrastructure. We ended the year with $1.575 billion of debt after paying down $156.3 million during the quarter. Our cash balance was $170.7 million at the end of Q4, resulting in net debt of $1.404 billion. Also, our pension and other postretirement benefit liability totaled $99.8 million at the end of 2020 that is down from $235.9 million at the end of last year. This decrease in liability was primarily as a result of the return on planned assets during the period. Subsequent to quarter end, an additional $32.6 million of debt was repaid using the proceeds from real estate sales at year end and reflected in the year end cash balance. We remain committed to continuing to reduce our debt. And longer term, we are targeting a first lien net leverage ratio of 1x our adjusted EBITDA or less by the end of 2022. Turning to 2021, we are well positioned to significantly grow adjusted EBITDA this year as compared with 2020. We ended the year with synergy savings at $245 million annualized run-rate and that’s before taking into consideration the additional permanent cost savings – permanent cost saving measures we have implemented. In addition, we expect to exceed our target of $300 million in annualized synergies by the end of 2021. With continued revenue trend improvement combined with our cost saving measures, we feel confident that the company will achieve significant adjusted EBITDA growth in 2021. Before we move to questions, we want to thank our employees for their continued commitment to our communities and their resilience throughout the pandemic. The severe weather events in the Southwest last week were another example of how our employees go above and beyond for their communities and for their fellow employees, not only providing crucial information to readers, but also quickly identifying ways to leverage our full network to support those in need. 2020 highlighted the ongoing need for trusted high quality content and for local news more than ever and we could not be prouder of the role that Gannett plays in that. With that, we can turn it to the operator for questions.
Operator: